Operator: Greetings and welcome to the Green Plains Renewable Energy Incorporated first quarter 2009 financial results conference call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Jim Stark, Vice President of Investor Relations for Green Plains Renewable Energy, Incorporated. Thank you. Mr. Stark, you may now begin.
Jim Stark: Thanks, Jackie. Good morning and thanks for joining us today. On the call are Todd Becker, President and Chief Executive Officer of Green Plains, and Jerry Peters, our Chief Financial Officer. We are here to discuss our first quarter 2009 financial results and other recent developments. Before we begin, I would like to remind everyone that a number of forward-looking statements will be made during this presentation. Forward-looking statements are any statements that are not historical facts. These forward-looking statements are based on the current expectations of Green Plains' management and there can be no assurance that such expectations will prove to be correct. Because forward-looking statements involve risks and uncertainties, Green Plains' actual results could differ materially from these results. Information about factors that could cause such differences can be found in yesterday's earnings press release on page seven and in our 10-K and other SEC filings. The information presented today is time sensitive and is accurate only as of the time hereof. If any portion of this presentation is rebroadcast, retransmitted or redistributed at a later date, Green Plains will not be reviewing or updating the material that is contained herein. I’d now like to turn the call over to Todd Becker, our CEO.
Todd Becker: Thank you, Jim. Good morning. Glad you could join us today. We issued our first quarter earnings release yesterday after the market closed. We hope you all have had a chance to read it as we walk through our earnings this morning and give you an update on the industry and Green Plains. I will give you a brief review of the numbers and Jerry Peters, our CFO, will provide more detail later in the call. Our revenues in the first quarter of 2009 were $221 million. We reported a net loss of $9.3 million, or $0.38 a share. There were several items that impacted our performance in the quarter. We had a one-time charge, as previously reported in our 10-K, of approximately $4.6 million related to the termination of certain legacy agreements to sell our ethanol production at Bluffton, Obion and Superior. We paid to exit these agreements in order to have full control over our ethanol production, as well as avoid any credit exposure from one of our marketers. In one instance, when the Bluffton and Obion plants were initially acquired, they were under contract with Aventine Renewable Energy for a three-year exclusive sales contract. Within Green Plains, we also do third-party marketing at full capacity and capability to market our own production. We finalized negotiations in Aventine to terminate these agreements during the quarter. This move enables us to utilize our price risk management capabilities and accelerate collection of our receivables. While this was an expense incurred in the first quarter, we believe the savings and marketing fees and railcar leases alone will amount to approximately $4.8 million per year for each of the next three years of savings. Beyond the three years, we expect to see continued railcar lease savings of approximately $2 million per year. So we believe the terminations provide long-term benefits that far outweigh the one-time expense incurred in the quarter, and that's why we made a decision to proceed like that. A couple of additional items that impacted our first quarter were lower than expected operating income related to a plant shutdown at our Bluffton, Indiana facility, and distillers grain drying issues at our Superior, Iowa plant. We accelerated a scheduled maintenance shutdown at Bluffton as a result of a technical failure in the distillation process. During the outage, we completed our normal periodic maintenance procedures as well, and made some needed long-term improvements to the distillation process at Bluffton. The modifications were completed by the end of March. We estimate the impact from the plant shutdown to operating income at approximately $2.5 million. We do not anticipate this being a recurring event in the future. At the Superior plant, we discovered some technology and design issues that were limiting the plant's performance and reliability, specifically in the area of dry and the distillers’ grains production. We estimate the impact to our first quarter operating income of $1.5 million as a result of these issues, mostly resulting from the sale of wet distillers’ grains rather than dry product, which has a higher value overall in the marketplace. We are working to improve Superior's operating processes and effectiveness. Good news is that both plants are back online and producing ethanol and distillers grains at capacity. In addition, during our April scheduled shutdowns at Obion, Tennessee, and Shenandoah, Iowa, we incorporated the long-term distillation process improvements into those plants as well. Since these shutdowns were completed on a regularly scheduled basis, we do not expect a similar negative impact to our second quarter operating results. During the first quarter, we sold 73.2 million gallons of ethanol at an average price of $1.52 per gallon. From a comparison standpoint, we sold 61.5 million gallons in the preceding fourth quarter at an average price of $1.73 a gallon. We also sold nearly 211,000 tons on an equivalent dry basis of distillers grains at an average price of $125 per ton. That compares to approximately 174,000 tons of distillers grains sold in the fourth quarter at an average price of $125 per ton. All these values are average net realized prices to our plants. Our average corn costs per bushel were $3.93 in the first quarter compared to $4.33 for the fourth quarter of 2008. Commodity prices continue to fluctuate significantly in the first quarter and we continue to manage and lock in margins when market conditions allow. While individual commodity prices are certainly interesting to report, we still focus every day on putting those together in our models and deriving a per margin gallon. We are disappointed with our first quarter results as our risk managers, marketers and traders work very hard to lock in favorable margins in a challenging environment. In fact, the industry experienced one of the worst margin environments we have seen in a long time. Through our disciplined margin management approach, we realize commodity prices that would have generated overall positive margins during the quarter. If you look at corn, ethanol, and distillers grain prices we reported, you can see that we were able to lock away margins during the quarter. We saw several times during the quarter positive margins and moved quickly to lock them down. We are optimistic as we have seen a general improvement in margins during the second quarter so far and our plants are running well after the upgrade and repairs are made. At the end of the first quarter, our team locked in 12% of our 12-month forward production margin. We have reported the average corn price of $3.97 per bushel and an average ethanol price of $1.59 per gallon on that position. In addition, we have distillers grain sales at an equivalent dry price of $118 per ton. The recent lows in natural gas are also favorable towards the overall crush spread. As you can see, the corn costs we hedged were $0.04 higher than the first quarter, but the hedged ethanol sales were $0.07 higher, representing an expansion of margins over the first quarter. Now I would like to turn the call over to Jerry to review our first quarter financials in more detail.
Jerry Peters: Good morning, everyone, and thank you for joining us today. As a reminder, and for those of you that are new to Green Plains, early in the fourth quarter of 2008 we completed a significant merger with VBV that was accounted for as a reverse acquisition. Since VBV was engaged in the construction of its ethanol plants during most of 2008, we have no operational history to compare with from last year's March quarter. So in this earnings release and in my comments this morning, I will provide some comparisons to our results for the December quarter. We reported revenue of $221 million in the first quarter of 2009. That's an 18% increase over the sequential fourth quarter revenues for 2008 of 187 million. The increase is mainly the result of higher revenue in our Marketing and Distribution segment, as we were selling and distributing all of our own ethanol production, as well as production from two third-party plants. We sold nearly 136 million gallons of ethanol in this segment. The Marketing and Distribution segment also includes revenues from Blendstar since the date of the acquisition. We acquired a 51% interest in Blendstar in January of this year, and as a result began including its amounts in our consolidated financial statements. Consolidated gross profit was $1.9 million for the first quarter, down from $9.3 million for the quarter ended December 31, 2008. The decline was primarily related to the previously mentioned charge for the termination of the ethanol sales agreements, which was included in cost of goods sold, and the operational issues at our Bluffton and Superior plants. In addition, gross profit was impacted by lower average prices for ethanol in this quarter when compared to last quarter, and the seasonality of our Agribusiness segment. We would expect to see stronger performances from both of our Ethanol Production and Agribusiness segment in the second quarter. Ethanol margins appear to be moving in the right direction and our Agribusiness segment should have a solid quarter from the spring planting activities in their area. Operating expenses were $9.1 million in the first quarter compared to $10.3 million for the fourth quarter of 2008. The reduction in operating expenses is primarily a result of merger-related expenses that we incurred in the fourth quarter of 2008. Looking at our business segments for the first quarter, even with Bluffton and Superior operating at less than capacity, we reported revenue in the Ethanol Production segment of $137.5 million, or an increase of 2% over the previous quarter. Ethanol volumes in this segment increased 19% over last quarter to 73.2 million gallons. The first quarter included a full quarter of production from all of our plants, whereas the fourth quarter of 2008 includes the production from Obian, since it began operating in November. Also because of the merger accounting, production and revenues from the Shenandoah and Superior plants were not included prior to October 15, the date of the merger. Our Agribusiness segment generated $46.2 million of revenue for the quarter compared to $68.8 million for the previous quarter. As we indicated on our last earnings call, the quarterly performance fluctuates on a seasonal basis for this segment, with the second and fourth quarters being stronger when compared to the first and third quarters of each year. This fluctuation is due to the timing of the spring planting season, which occurs in the second quarter, and the fall harvest season occurring in the fourth quarter. The results for this segment were fully in line with our expectations. Marketing and Distribution segment revenues were $178.3 million for the first quarter 2009 compared to $71.4 million for the December 2008 quarter, representing an increase of $107 million. We anticipated an increase in revenue for this segment, as we began selling all of our own ethanol production through this segment and also ramped up our marketing efforts for three other ethanol producers. In addition, as I mentioned, our acquisition of Blendstar generated a positive contribution to operating income for this segment beginning in this quarter. In terms of cash flow, during the quarter, our cash flow, as measured by earnings before interest, income taxes, depreciation and amortization, was a negative $600,000. We continually focus on cash flow and use EBITDA to manage each of our business segments. As I'd like to remind you, though that EBITDA is a non-GAAP financial measure and we direct your attention to information included in the news release, including a reconciliation to our GAAP net income. The non-recurring charges that Todd discussed previously, obviously, had an impact on our cash flow, but before considering those items, we would have generated positive cash flow of approximately $8 million for the quarter. Our balance sheet is strong with over $72 million in total working capital, including approximately $53 million in cash at the end of the period. We had a couple of non-operating uses of cash during the quarter, including $7.5 million for the Blendstar acquisition, and approximately $1.5 million in capital expenditures in our businesses. In addition, we continue to focus on our working capital accounts to drive faster realization of cash flow from operations. Overall, our first quarter performance was not up to our expectations. We continue to lock in favorable margins when available and focus on improvements in processes that will improve our bottom line. Now, I'd like to turn the call back to Todd for his closing comments.
Todd Becker: Thanks, Jerry. We were encouraged to see last week the Environmental Protection Agency issue a notice of proposed rulemaking for the RFS2 or the second generation renewable fuel standard. Under the new rules, all of our plants would be grandfathered for purpose of generating [RIN] used in the sale of ethanol from the 20% reduction in greenhouse gas emissions in 2010. We anticipate final rulemaking on this later in the year and we will keep you updated on the progress of this change. We believe the new rule and the positive comments recently from the Obama administration and the support of first and second generation biofuels validates our business model and more importantly gives us great confidence that ethanol is here to stay as a permanent part of the fuel supply, which also directly impacts our Blendstar investment positively as they provide blending solutions to end-use markets. The BioProcessAlgae project at our Shenandoah facility is making good progress and we are excited about its prospects. This pilot project will be one of the first operational installations of a photobioreactor system at an industrial plant in the United States utilizing emerging technology out of the laboratory. The finalization of the $2.1 million grant provides funding through the end of the first quarter of calendar year 2010, with installation of the pilot project expected in the third quarter of 2009. We are confident and optimistic in the platform we are building at Green Plains. This was a transition quarter for the company as we terminated major legacy contracts and the costs associated with them. In addition, the major shutdown at our Bluffton facility has already proven to be the correct move as the operating performance of that facility has been excellent since starting back up. With regard to our Superior facility, we have also seen significant improvement in operations as well. We also have seen a general improvement in the margin environment over the last several weeks. There seems to be a supply/demand equilibrium and any disruption in industry supply, or in turn an increase in blending because of the price relationship between gasoline and ethanol allows our business to achieve better margins overall. We're still committed to creating shareholder value and believe going it forward from here; our business is now set up to take advantage of our low-cost vertically integrated platform and diversified income stream. I'd like to thank you for calling in today and we'll open the floor for questions.
Paul Resnik - Olympia Asset Management: I have a few questions. One, on the Superior, you identified a design issue. Is there any potential redress here against the design or contractor, or--?
Todd Becker: Yeah, thanks for the question, Paul. We're working hard on warranty and contractor issues and determining whether we are going to make a claim or not against that. At this point, we have not made that determination, but I will tell you we have made the fixes that were needed and our dryers have been running at around 97%, since this fix happened. But overall we do think we may have some recourse back to the construction company or the technology.
Paul Resnik - Olympia Asset Management: On the Agribusiness, which has seasonality, broadly, could you give me for the four quarters kind of what a normalized percentage would be relative to the full year as far as revenues? I mean did you do 15% in the first quarter and 30% in the second, something like that?
Todd Becker: Well, I don't know we have that available, but what we look at is, is where most of the profitability will come from the Agribusiness segment. How we look at our segment, we assume around 50% of the profit comes from the second quarter and 50% of the profit will come in the fourth quarter, assuming Q1 and Q3 are around breakeven.
Paul Resnik - Olympia Asset Management: Okay. Lastly, totaling up these numbers and the fact that margins have improved in the second quarter in the absence of non-recurring, it would look that all things being equal, you're on target for a profitable second quarter. Would that be a good estimate?
Todd Becker: I'll turn that over to Jerry to comment on that.
Jerry Peters : We don't provide any specific guidance, but as Todd said, the margins have improved nicely and again with the grain company, the Agribusiness segment being in its second quarter during planting, we would expect some positive results there.
Operator: Thank you. Our next question's coming from Peter Rohde of Kiplinger's Biofuels Market.
Peter Rohde - Kiplinger's Biofuels Market: Good morning. I'm wondering, with the environment improving, are you getting longer off-take agreements with blenders? And if so, how long?
Todd Becker: You know, we went from an environment where you could get longer sales contracts and they were expanding or going out further. We saw that contract to more of a 30- to 60-day kind of environment. We are starting to see interest across the blending environment, again with gasoline and ethanol spread coming into about even. We're starting to see a lot more interest in blending really in all of our Blendstar sites, as well as from our customer base and the market is starting to look a little bit longer to get some coverage.
Peter Rohde - Kiplinger's Biofuels Market: What blends contracts are you seeing now, beyond 60-day?
Todd Becker: We are starting to see some Q3 coverage that the market is looking at and even some Q4 coverage. So, we're starting to see a longer interest in terms of contracting through the end of the year now.
Peter Rohde - Kiplinger's Biofuels Market: Now, are you going to make a play for reducing one of your plants or all of your plants, carbon footprints so you can qualify for California Low-Carbon Fuel Standards or make the fuel attractive to blenders out there?
Todd Becker: Well, from the standpoint of our carbon footprint, obviously we believe that ethanol plant is carbon-neutral or actually is favorable from the standpoint of the CO2 emitted versus the used in the production process. In terms of just the overall positive comments out of the EPA, we believe that our plants will qualify under the grandfather clause, as well as the fact that we are non-coal. And from the California standpoint, we will -- and, again, that's a couple years down the road, but we think that our plants will be able to qualify.
Operator: Thank you. (Operator Instructions) Our next question is coming from [Richard Dearnly] of Longport Partners
Richard Dearnly - Longport Partners : Good morning. What is the normal plant maintenance schedule for your plant? How many times a year do you take them down?
Todd Becker: We typically on a maintenance schedule take our plants down twice a year and we have a couple days in the second quarter that we had basically taken all of our plants down and then we will do a another plant shutdown somewhere between the third and the fourth quarter, late in third quarter or possibly early in the fourth quarter. And again, these are shutdowns that range from 36 to 72 hours.
Richard Dearnly - Longport Partners : Okay. So this shutdown was just a little bit early.
Todd Becker: The Bluffton shutdown is what you're referring to?
Richard Dearnly - Longport Partners : Yeah.
Todd Becker: Yeah, the Bluffton shutdown happened because we discovered something in the distillation process that needed to be fixed that we were not aware of and led us to accelerate our scheduled shutdown. But it took longer than expected to make those repairs because of the scope of those repairs. Once we discovered what those were, we then moved quickly to plan that during our normal shutdown and prepare for that and make the changes to the distillation process.
Richard Dearnly - Longport Partners : Okay. Do you have any read on corn planting as it's been raining here in the Midwest steadily for the last two weeks or so?
Todd Becker: Well, we're optimistic about the corn planting that has happened in the western part of the belt. Iowa and Nebraska obviously have gotten their crops in very well, which we're very optimistic as it relates to our Agribusiness operation as well as our western plants. It's a little bit slower in the east, but we still feel like we're going to make the progress needed. Our last report out of Tennessee was 75% around our Tennessee plant. We are a bit concerned about the slow progress in Illinois and Indiana, but again with the technology available and planting corn and the corn crop, we're still confident we'll get the Illinois and Indiana crops in on time and the acres needed.
Richard Dearnly - Longport Partners : Then last quarter, you had said that you locked in your ethanol margin for the next quarter at your four plants. What percentage had you locked in? And did the margins this quarter come as planned given those hedges? How did that work out?
Todd Becker: What we had locked in at the end of the fourth quarter that we had reported, is that what you were talking relative to the first quarter?
Richard Dearnly - Longport Partners : Yeah, there was this comment that you've locked in margins for the next quarter. I'm talking about from the end of the fourth quarter, how did you actually do this quarter relative to what you expected given your hedges?
Todd Becker: Well, look, if you back out the one-time charges that we had indicated and you used the commodity prices that we've reported in our press release and will be reported in our 10-Q, and you put those into the model they would have generated the margins that we were expecting during the first quarter. If we did not have those three events happen, the one which was expected, which is getting out of the legacy agreement and getting away from any kind of counterparty exposure, as well as the other two operational events, then we would have achieved using the commodity prices that we locked in the margins that we were expecting for the quarter.
Operator: This concludes today's question and answer session. I'll hand the floor back over to Todd Becker for any closing comments.
Todd Becker: Okay, thank you. I'd like to thank everybody for coming on the call today. Obviously we're coming off of what we would call a transition quarter, a bit tough, but we're still very optimistic about the future of our business, the future of ethanol, and our strong financial position. We've seen a nice expansion in margins across the board in the second quarter, and we're optimistic about the potential there. We're excited about the prospects of ethanol going forward, and the commitment the administration has made to ethanol as well as first generation plants through the grandfathering process. Again, we want to thank you for coming on today, and have a nice day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.